Operator: Ladies and gentlemen, thank you for standing by. I would now like to hand the conference over to your speaker today Mr. Steve Filton. Thank you. Please go ahead, sir.
Steve Filton: Thank you, Natalya. Good morning. Alan Miller, our CEO is also joining us this morning. We welcome you to this review of the Universal Health Service's Results for the Second Quarter ended June 30, 2020. During the conference call, we will be using words such as believes, expects, anticipates, estimates, and similar words that represent forecasts, projections, and forward-looking statements. For anyone not familiar with the risks and uncertainties inherent in these forward-looking statements, I recommend a careful reading of the section on risk factors and forward-looking statements and risk factors in our Form 10-K for the year ended December 31, 2019 and our Form 10-Q for the quarter ended March 31, 2020. We'd like to highlight just a couple of developments and business trends before opening the call up to questions. As discussed in our press release last night, the company reported net income attributable to UHS per diluted share of $2.95 for the quarter. After adjusting for the impact of the items reflected on the supplemental schedule as included with the press release, our adjusted net income attributable to UHS per diluted share was $2.93 for the quarter ended June 30, 2020. As of June 30, 2020, we have received approximately $320 million of funds from various governmental stimulus programs most notably the CARES Act. Included in our reported income for the second quarter is approximately 218 million of net revenues recorded in connection with these stimulus program. Approximately 157 million of these revenues were attributable to our acute care facilities and 61 million were attributable to our behavioral health facilities.  In addition, during the second quarter of 2020, we received approximately $375 million of Medicare accelerated payments, which had no impact on earnings during the quarter.  As previously discussed in our first quarter conference call, beginning in mid-March, the incidence of COVID-19 and suspected COVID cases increased in our acute facilities. And correspondingly, the volume of non-COVID patients declined significantly. These declines in patient volumes generally continued into the first half of April.  Beginning with the second half of April, our admission in patient day metrics began to rebound. By the first half of May, local authorities had lifted restrictions on elective surgeries and other procedures, and those volumes began to rebound sharply as well. ER visits while also gradually improving have been the volume units slowest to recover, but the increased acuity of our patient population suggests at least in part, that the more severely ill patients who tended to return to the emergency rooms, and the less acute patients were the ones continuing to avoid that level of care.  In late June and continuing into July, most of our hospitals experienced the second wave of COVID cases. Although to date this second wave has not been accompanied by the same magnitude of non-COVID case declines that we experienced in the first wave in the March and April timeframe.  Generally, our hospitals were better able to prepare for this second wave with greater ICU and isolation room capacity, as well as more ample inventories of PPE. Obtaining timely COVID test results, as demand has increased, does remain a challenge in certain instances. The behavioral health segment experienced a similar pattern of volume changes with patient day metrics hitting a trough in early April and incrementally recovering for the rest of the quarter. Despite a number of headwinds including a decline in referrals from acute care emergency rooms and from schools which mostly remain closed and from travel restrictions on potential patients. Behavioral patient days returned to close to pre-COVID levels by mid-June prior to the late June second COVID wave.  As we noted in the first quarter, our paramount concern throughout the COVID crisis has been taking all the necessary steps to keep our patients and employees as safe as possible. We did however, also recognize the severe financial stresses created by the COVID crisis and we undertook a series of steps to mitigate the dramatic revenue declines and to protect our capital structure including one, cost reduction initiatives across all of our expense categories. Our approach in this regard, especially as it relates to labor expenses has been a balanced one, reflecting our expectation that the dramatic declines in volumes would in many instances be temporary in nature, and also recognizing the severe strain that the crisis has created on our employee caregivers.  Two, a reduction in planned capital spending. This effort was somewhat transparent in the second quarter as most of our existing and committed projects continued on schedule, but we expect the pace of spending to slow in the second half of the year, as newer projects are repriced and possibly postponed. And three, a suspension of share repurchase and quarterly dividend program.  As a result of these actions, as well as the funds received during the second quarter in connection with the governmental stimulus programs, and Medicare accelerated payment, the company has close to $1.4 billion of aggregate available borrowing capacity as of June 30 2020, along with almost $600 million of short-term cash investments on the balance sheet. While we are encouraged by the improving volume trends in the quarter. We acknowledge the potential material COVID-19, potential impact COVID-19 could have on our future operations and financial results. And since the nature of these future COVID developments are largely beyond our ability to control we have continued to withhold any further earnings guidance for the balance of 2020. Alan and I will be pleased to answer your questions at this time. Natalya whenever you're ready.
Operator: [Operator Instructions] Your first question is from the line of Andrew Mok with Barclays.
Andrew Mok: First, can you put some numbers around the acute and behavioral volume trends exiting June and how they've performed so far in July against the backdrop of rising cases?
Alan Miller: So Andrew, I think that in terms of patient days as an example, I would say in mid-June, both our acute and behavioral patient days, were averaging something like 95% of pre-COVID level. I think there were some days where we were even higher than that. Same thing with elective and elective surgical and other procedures have climbed back for those levels. ER visits, as I noted in my remarks, we're still probably 25% short of pre-COVID levels. But then, as we saw the second wave hit in the last maybe 10 days of June and into July. So both of those metrics took a step back, I would say that for instance elective procedures were now running in the July timeframe, maybe 85% to 90% of pre-COVID level, behavioral patient days, we're running, let's say 90% to 95% of pre-COVID level. So a bit of a step back from where we were, but not that dramatic decline that we saw in the March, April timeframe.
Andrew Mok: And then just wanted to follow up on the behavioral segment, you mentioned that your behavioral patient days rebounded in mid-June to near pre-COVID level. Even though ER volumes were still down meaningfully and schools were closed. What does that say about underlying demand for behavioral in this environment? And what are your expectations for volumes once all the referral sources are open and that full strength?
Alan Miller: Sure, I think it says a few things. I mean, one is that our facilities and our operators took steps during the crisis to reach out to our potential patient population, who might have had concerns or anxiety about going to hospital ERs. And try to deliver the message to that population that there were other ways that they could enter the system and get care, get the assessments that they need and the ultimate care that they need. And I think that as the quarter went on, those efforts were more and more successful. But also, I think, as your questions sort of alluded to, I think, it suggests and I tried to say this in my prepared remarks that despite the headwinds that existed, fewer referrals in the ERs, schools being closed for the most part across the country, travel restrictions that behavioral demand really was restored to something close to pre-COVID levels. And I think it suggests that we had that underlying behavioral demand is quite strong. And I think our belief is that we'll continue to face some of these same headwinds including incidents of COVID to COVID virus amongst both our employee population and our patient population, but that their fundamental demand for behavioral services across the board and all sorts of diagnoses and illnesses, seems to be growing. And that seems to be consistent with what one might expect. It's an incredibly stressful environment for all of us. And so if you are someone who is predisposed to having a chronic behavioral illness, you can only imagine how difficult this environment is and the fact that a lot of those patients are being stressed now and need some extra care is not surprising, at least in my mind.
Operator: Your next question is from the line of Justin Lake with Wolfe Research.
Eugene Kim: This is Eugene now for Justin. Just a quick follow up on Andrew's question earlier. What is July declining volume? Are these declines driven by a few states testing level of COVID or just more broad based and in your facilities?
Alan Miller: Sure, well, the reality is that in our kids division, almost all of our facilities, the vast majority are located in hotspots in Florida and in Texas and in Las Vegas and in Riverside County, California and South Texas. All those areas have been hotspots. And so we've experienced this, the trends that I noted, really across the acute division. Our behavioral division is more geographically disparate, but obviously, the fact that there's been a resurgence in COVID cases across the south and the west means that we certainly have a large number of facilities that have been affected in the states that I mentioned also in Arizona, and in a number of other places as well. So it's been pretty broad based this second wave, although certainly not in every single facility.
Eugene Kim: And I want to quickly ask about margin lost revenue for the quarter. It appears definite margins have improved quarter-over-quarter but still remain pretty high and north of 50%. Can you give us a little more color and how we should think about going forward? If there's room for to first move in the back half, if the volume doesn't fully recover?
Alan Miller: So the margins in the first quarter and I think we discussed this at some length on the call were really dramatically impacted in a negative way I think for two reasons, one is we saw the rise in COVID cases in mid March, but saw this dramatic commensurate decline in non-COVID business. The cessation of elective surgeries, the decline in ER visits, the decline in behavioral patient day, et cetera.  I think the other issue in Q1 was because it happened so suddenly and happened so late in the quarter, there was very little cost adjustments and cost reductions that took place in Q1.  In Q2, I think margin certainly looks sequentially better, as you know, for a variety of reasons, excluding the government stimulus funds, obviously, but, volumes rebounded during the quarter elective surgeries came back and the acute side, we made a significant amount of adjustments to our cost structure. But I think, we said this at the end of the first quarter, the nature of the hospital business is such that because so much of our costs are fixed and semi fixed in nature, it's almost impossible for us to reduce costs at the same rate that revenues are being reduced, particularly in this sort of environment where revenues have been reduced by a fairly dramatic amount. So as long as that's the case, we're going to face that margin headwind. Obviously, if volumes are restored, to sort of pre-COVID levels, we would have every expectation that we should be able to get back to a margin profile that also looks like the pre-COVID margin.
Operator: Your next question is from the line of Pito Chickering with Deutsche Bank.
Pito Chickering : Can you talk a little more about expense management? Walk us through the main actions you've taken in acute during 2Q talk about premium labor will use paid for in 1Q versus 2Q and as you roll into the back half of the year. Are there any areas for additional cost savings on acute and/or behavioral? And at the same time, can you talk about any stress points that could actually lead to increased expenses for both in the back half of the year?
Steve Filton: Pretty broad question, so I'll try and cover all the points. But I think when the COVID crisis first began, and we saw this dramatic reduction in revenue, we tried to take a broad look across all of our expense categories, and reduced expenses wherever that was possible. Obviously, you're looking to reduce expenses first. And those places where expenses are more naturally variable supply expenses being obvious. Labor being kind of the next obvious one, and it was a little bit difficult because, what we saw was a very uneven pattern of demand. So in other words, our emergency room volume was down, but it was high with COVID patients and suspected COVID patients. Our ICU volumes tended to be down. But the activity and a lot of the elective and procedural areas were down significantly. So we tried to make labor adjustments where that was most appropriate. But also, as I noted in my prepared remarks, I think we did start with the notion that in relatively short order, that demand would be restored and we wanted people to be able to come back to work, has that occurred, et cetera. So I think we were fairly cautious and how we reduce labor hours, et cetera. As your question alludes, one of the early things that we did was try and reduce the amount of premium labor and that includes things like overtime, the use of temporary nurses, the use of traveling nurses, and those we're significantly reduced in the second quarter and I think contributes to a lot of the labor reduction in the quarter. As we looked at the back half of the year, the biggest challenge, I think, is in predicting, and in planning for what the level of volumes will be. And again, these COVID surges and the ebbs and flows make it a little bit more difficult than predicting and preparing for a sort of a normal hospital season, which in and of itself tends to fluctuate some. So that's a challenge, but we'll continue to deal with that. I think our operators are doing a really remarkable job in the face of these challenges. And then finally, when you ask about potential stress points, I really think it's in the labor force. I don't think, it's possible to overstate how difficult this environment is for folks working on the front lines in hospitals, clinicians, support staff, et cetera. It's an incredibly stressful environment, they're being asked to do a great many things. They're responding in my mind magnificently. But the longer this goes on, the more challenges that creates, in terms of their ability to continue to work in that stressful environment, employees have been exposed to the virus, they need time to recuperate and quarantine and all those things. So that probably is the single biggest stress point that we worry about, in terms of the continuation of the virus. 
Pito Chickering: Because my last question was pretty broad, my follow up will be a lot more targeted. Behavioral demand has been pretty robust relative due to COVID. Can you give us any breakout of geographical differences you seen across your portfolio? Or maybe more importantly, what specialties are you seeing elevated demand and where are you seeing lower demand?
Alan Miller: We talk I think a little bit about this in Q1, I think our residential business was less impacted by the COVID crisis, that's why I think in large part our length of stay appears to be longer. Our residential business carries a much longer length of stay. The acute business the acute behavioral business, which tends to rely more on emergency room referrals, et cetera has been more impacted. The addiction treatment business, particularly the legacy foundation, addiction treatment business which involved and depended on a lot of travel for treatment, and as you might imagine, that sort of aspect of their business was diminished significantly. So, that came under some pressure.  But generally, as I sort of, I think answered in my last question or in my last response, we're seeing demand for behavioral services across all diagnoses to the fairly robust and I think it's because as I said before, I think if you are predisposed to having a chronic behavioral illness, whatever it might be schizophrenia, severe depression, addiction illness, and you're under the kind of stress that most people are under in this environment, the likelihood that you're going to suffer some sort of traumatic episode or require incremental care, et cetera, I think is much greater. And I think we're seeing a lot of it.
Operator: [Operator Instructions] Your next question is from the line of Kevin Fishbeck with Bank of America. 
Kevin Fishbeck: So I guess, obviously the rates were quite strong, because we have that higher equity volume staying in and the lower equity volume was delayed, I mean, how should we think about modeling that? I guess the pent up demand in theory is probably going to be lower acuity, so that would mean that when volumes come back rate should be lower. Is there any way to think about what impact that should have on margins when we have this pent up demand? Is it more about that? Or is it more about revenue growth which going to determine the margin expectation?
Steve Filton: So you didn’t specifically say Kevin, but I assume this is mostly an acute care question because things are pricing on the behavioral side, what I'd consider to be pretty normal or historically normative. Yeah, so, as your question sort of I think presumes, the revenue per adjusted admission on the acute side of the business was historically strong in the quarter. It's a reflection again, as I mentioned in my prepared remarks, the high acuity of our patients, which I think is a combination of a couple of things. One is the COVID patients themselves that we are seeking seeing are quite sick many of them. Particularly, as everybody reads, the elderly and those with chronic underlying conditions tend to have a longer length of stay, they tend to have a lot of complications. And I think that's being reflected in the revenue numbers and the pricing numbers that you're seeing. I think the other issue as we've talked about in my commentary about ER visits, the less acutely ill patients are tend to be sort of staying away from the hospital in greater numbers. And therefore, they're not sort of creating that balance in pricing that has existed normally. In terms of how to model that is difficult to do. I think it's one of the reasons why we're reluctant to give any sort of precise guidance as we move forward? Because I think it very much depends on the level and the amount of COVID patients we see, the kind of COVID patients we see are they going to be sort of the older cohort, more elderly that we saw in the first wave, kind of a younger cohort that we saw in the second wave? How sick are they going to be? How comfortable are people going to be to come back to hospitals and emergency rooms, for what I would describe as a little bit more normal care? All these things are difficult to predict. I would think that overtime, our Acute Care pricing will return to more normal levels as the COVID crisis even et cetera. But exactly how quickly that occurs and over what period of time. Again, difficult to predict without knowing sort of what the trajectory of the virus is going to be.
Kevin Fishbeck: And then I guess on the, on kind of that dynamic. If we have a situation where for the next few quarters kind of core volume, if you will, or 90%, 95% and COVID volumes are 5% or 10% for that period. Your occupancy overall is kind of normal. Can you get normal margins on payer mix, for patient mix like that, or does it need to be really more kind of core volumes that you will?
Alan Miller: Look, I think that we were headed in June to an experiment or however we want to think about it or a month, I think, in our own minds that we felt was going to closely resemble again, it's not the greatest term, but I call it a normal, volumes will return into something close to pre-COVID levels and I think if we had finished June, without the second wave of COVID cases, that would have been the experience, we would have would at least probably have exited the month at something close to pre-COVID levels. And I think that would have been a good test and I'm in my own sense is that we would have gotten back to something approaching that pre-COVID kind of margin profile. We didn't get a chance to really experience that because of the second wave. So it's difficult for me to say that with great or precise certainty. But my sense is if we can get most of our volumes, patient days admissions, on the acute side, elective procedures and surgeries and behavioral side patient is back to something approaching pre-COVID levels. There's no real reason why we shouldn't get close to pre-COVID margins. There's some amount of incremental expense associated with treating COVID and COVID suspected patients, but I don't think it's really what's moving the needle. What's moving the needle in terms of that margin shortfall again, is the sort of notion of COVID cases pushing out. We're squeezing out to a degree, non-COVID cases, which happened in great numbers early on in March-April timeframe, and in much smaller numbers in May-June timeframe.
Operator: Your next question is from the line of Brent Kasser with JPMorgan.
Brent Kasser: Maybe as a follow up to Pito’s question and you mentioned the length of stay impact and the mix of the residential business but how do you also continue to see a relaxing of managed care policies in terms of controlling length of stay? And when do you think that sort of normalizes?
Steve Filton: Yeah, I think probably the biggest impact has been the shift in business. And as I said, the residential business tends to have historically a much longer length of stay than the acute business. So, we're having the volume declines focus on the acute side of the business, I think just naturally is created that with greater the growth and length of say. But you're right, I mean, I think we see in some of our other payer categories length of stay has crept up a little bit and it's hard to say whether that is a reflective of a somewhat more acutely ill population or a relaxing on the part of managed care companies that some of their utilization review procedures in the crisis.  I think ultimately, the payers will behave the way, they always behave which is trying to manage as efficiently and effectively as they can their medical spend. So I don't think that whatever benefit that is, and I don't think it's that great. I don't think it's sustainable over a long period of time.  But again, I think what's driving the increased length of stay is probably other factors for relaxing on the part of the payer to. If you follow, because I know, everybody in the call does, their earnings, et cetera they're quite good. So they've been pretty successful at controlling their medical utilization rather than actively or just naturally in this COVID crisis.
Brent Kasser: And then, I guess at a higher level, I'd be interested in sort of your updated views of sort of telehealth as it relates to the behavioral health strategy and how COVID has sort of obviously changed the environment as it relates to ultimate and how you're thinking about utilizing that moving forward?
Steve Filton: I think from our perspective, the biggest impact on telehealth in this last few months has been to provide an alternative access point or portal into the system, particularly for patients who are anxious about entering the system in a more traditional way going through an acute care ER or a community mental health center or kids who are not in school, whatever it might have been. And what telehealth did was enable our facilities and our clinicians to access patient population in another way, and asses them if they needed assessment and direct them to the sort of care that they needed or in some cases to provide an outpatient therapy session to a patient needed outpatient therapy. But again, was reluctant to receive that therapy in an person setting. So I don't think, telehealth really replaced in any way our core business of inpatient care. But what it did and I think what we've done very effectively in a short period of time, is creating a much more robust telehealth infrastructure that gives the potential patient population more optionality about how to enter the system, how to be assessed, how to receive outpatient treatment in a broader way than they had four or five or six months ago.
Operator: Your next question is from on the line at A.J. Rice with Credit Suisse.
A.J. Rice : Just a couple quick questions if I could ask. On the 477 million that you highlighting is Medicare accelerated payments and deferred government stimulus. Is there any way to disaggregate or saying how much of each of those and the part that the stimulus grants has been deferred? When did you expect to recognize that what's the gating factor on that?
Steve Filton: So the 375, which I alluded to in the script, A.J. is the Medicare accelerated payments. Those are just what they say they are. They were meant to be pre-payments for Medicare patients. They begin to get repaid and we believe, I think as early as August and then we paid over sometime, there is some conversation in Congress about altering the payment terms et cetera. The other issue which we talked about in Q1 is that we did not receive all the Medicare accelerated payments that we had applied for and we believe have been appropriately approved for it. So it's conceivable that there is more of those to come.  The other roughly $100 million, are stimulus funds that we've received, but have not recorded into income yet, because we could not attest for the fact that we had either incremental COVID expenses for lost revenues as a result of COVID that would justify those and now we have some time to do that. In other words, if, as this crisis continues, we incur more incremental expenses or lose more revenue, we may be able to justify some more of that. It's also possible that some of that will ultimately be returned. We're being very sort of prudent about how we treat these things that are only recognizing the fund that we believe can be clearly justified in terms of the criteria that CMS has set forth.
A.J. Rice : And my other question was, and this understand if it’s all been put on hold. But last fall, you may have brought in new management in the behavioral business. And I know there was some discussion about potential initiatives looking at re-contracting, and managed care somewhat maybe using the leverage of the market strength or even the national strength, you have to try to get some advantage better advantages than you had historically there was also discussion about better use of data. Is that moving forward and how much of that is done or did it all get the most of it got put on hold because of the COVID crisis?
Alan Miller: So I think the answer is a little bit of both. Matt Peterson started with the company back in September. And I think, in that September to March timeframe created a number of initiatives, including some of what you talked about, which is sort of entering into conversations with a number of large payers about different ways of sort of approaching the business in a way that would create sort of a win-win for both the payer and also the provider.  I think, as your question sort of alludes to however, a lot of those conversations, a lot of those initiatives were put on pause and beginning into mid-March with the COVID crisis, and while I think we continue to have some conversations with our payers in that regard, the focus has primarily over the last several months been on just sort of blocking and tackling running facilities in a very, this very difficult sort of COVID environment.  So the hope, obviously, is that we will see, and using these COVID cases at some point in the next few quarters, and those conversations and initiatives can be restored. But I think they've largely been on put on hold over the last three or four months.
A.J. Rice: Maybe just another aspect of the behavioral business, and I'm sorry I get a little late on them, but did you talk about it already, don't worry about it. But you obviously got the schools closed which were a referral source for you. A lot of the acute care guys are reporting to ER volumes are down. You see some pressure in your behavioral business, but it holding maybe better than you might expect, given those other two variables. Is there any way to sort of give an assessment of is this crisis resulting in more in demand for the service on an underlying basis. And if you see those other two start to come back, you might end up coming out the other end, stronger demand environment, if you have any view on that?
Alan Miller: Yeah, I will share my view. And I'll caveat it by saying, I'm not sure that it's entirely supported by objective evidence. But, as I think about an environment where emergency room visits across the country are down 25% or 30%, and schools are closed, and travel is severely restricted. And still, I'm able to say that to the previous second wave on COVID, our behavioral volumes were back to something pretty close to pre-COVID levels. I think and I did say this to somebody earlier. I think that's a reflection of the fact that the underlying demand for behavioral services is rather robust because those are some pretty significant headwinds.  Now, some of that is a credit to our operators and our facilities who I think have worked very hard over the last three or four months to work around those headwinds, and to reach patients who were not in entering the system through acute care emergency rooms and reach adolescence who are not necessarily in schools, and they've done a good job of that. But I think, the mere fact that, volumes have climbed back to the level that they had is a reflection that they've revised, you would think would be as strong pre-COVID and post COVID. And I think there's a legitimate argument to be made and both intellectually and intuitively I believe the notion that behavioral demand has increased in this crisis is not hard to speculate, and I think we've seen that and I think we'll continue to see it grow as the COVID patients are stabilized and are dealt with.
Operator: There are no further questions.
Steve Filton: Okay. Well, we thank everybody for their time and hope that everybody stay safe and look forward to speaking with everybody next quarter.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.